Operator: Good afternoon, ladies and gentlemen, and welcome to the Pressure BioSciences Q4 and Fiscal Year 2021 Investor Call and Business update. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Richard Schumacher, President and CEO. Sir, the floor is yours. 
Richard Schumacher: Thank you, John, and thanks, everybody, for joining us for the PBI fourth quarter and full fiscal year financial review and business update. Before I begin, as always, I'm going to read a cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any results, any updates, revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which such statement is based. 
 So for today, I'm first pleased to welcome back to the PBI financial review and business update, 2 guys who are super important to the future success of the company whom I talk to every day and work with and that's 24/7 and work with quite a lot of experience and a lot of help for a guy in my position. It's terrific to have people that have been there -- or they are now and have been there before. So I'd certainly like to welcome John Hollister, who is our Head of Marketing and Sales; and Jeff Peterson, who is our Board Chairman. Welcome, fellows. 
John Hollister: Good to be here. 
Jeffrey Peterson: Great to join you. 
Richard Schumacher: Today's meeting, we're going to start with a brief discussion of the 2021 fourth quarter and the full year results. Then we're going to highlight some of the successes we achieved in 2021 and so far in 2022, followed by a general business update. And after, we'll be pleased to take questions. I will say that the K went out just after 4:00. We were -- I apologize. We needed a couple of extra days. We certainly didn't need the whole 15 that the SEC gives us, but we needed a couple of extra days to pull everything together and we did, and we were able to not take too many extra days in that 15 days to get our K out.  
 So I apologize that it didn't get out at the end of last week as we had hoped, but we had a few things that we had to tie up and make sure everything was cool and everything is. And so we were able to get it out today just after 4:00. So very briefly, and again, these are in the K and they are discussed in the K, and I'm always happy to take phone calls in from people. But -- so I'm not going to spend a lot of time on the financial results because there's a lot of description and discussion of them in the Form 10-K. But the total revenue for Q4 '21 was $315,000 compared to $164,000 for the same period in 2020. And please remember 2020 was a height of the pandemic. We were hit extremely hard. Many -- most of our customers are laboratories. They're in their academic government; industrial, biopharma, biotech laboratories. Many of them were shut down for almost all of the 2020 year.
 So buying instruments, buying consumables was not something that was done that much, and we were hit extremely hard. And I was very concerned about getting out of that in 2021. Obviously, the pandemic was still with us. But trying to get out of it and get back on even keel and we did more than that. So I'm very proud of the group to do that. So the revenue increased in 2021 by almost 100%, 91% over 2020. And the sale of instruments, which is very important, we did not sell any instruments in the fourth quarter of 2020. We sold $115,000 of instruments in 2021. Consumable sales were also up about 70%. That's very important. Our operating loss was up slightly, not very much due to the increases in G&A and getting things going again. And our loss per common share decreased from $1.19 to $0.48 in 2021 fiscal year versus 2020 fiscal year, a much more important yardstick to look at for the entire year.
 Our sales increased from $1.2 million in 2020 to $2 million in 2021, a 64% increase. Our sales of instruments also increased from $568,000 to $1.1 million, a 94% increase. Consumable sales were up 34% from $204,000 in 2020 to $274,000 in 2021. Operating loss decreased going in the right direction here. It decreased primarily because, of course, the much better sales that we had in 2021. And the loss per common share also again decreased from $5.32 to $3.42. We had a number of things. I won't spend a lot of time on them because we've had press releases on most of these because they're material, but we had a lot of highlights for the 2021 and for 2022 so far.
 We've -- and we can talk about this later. We certainly made very good progress in our 2022 key goals, which I'll mention in just a minute. We installed our BaroShear MAX, our 1 big instrument in the world-renowned Food Pilot lab at Ohio State University, where so many food and beverage companies from around the world go during the course of any year to look at new equipment that's coming out from many, many different companies and groups. We are in there now, and we are working hard as our colleagues at Ohio State are to try to have the GALA opening and invite -- they will invite a number of good friends of theirs that are in beverage and mostly beverage companies from around the world to come and visit and then, of course, they'll be inviting to visit for the rest of the year to bring materials in and to use them on our Ultra Shear instrument, the BaroShear MAX that is in the Pilot Lab. Very exciting, we achieved and announced 12 months, and then we announced 18 months of stability on our CBD oil nanoemulsion.  
 I'm telling you that the material looks as good when we look at it even today as it did when we made it almost 2 years ago. So it's extremely stable, and this is just sitting at room temperature. I've -- personally, I've never seen anybody else that processes CBD and puts it into real-time stability. I personally never seen. Maybe people have it, but I've never read about it or seen about it. 18 months, let alone right now going on 24 months or 2 years of stability. We got 5 UST patents in the past year, 1.5 years. 2 of them are on our very unique, very innovative nanogap valve. There's -- honestly, we don't think there's anything like it in the world. That's why we got the patent. It works totally in a way that's very different than how most valves work and therefore is very innovative. And it is an integral part.  
 It is perhaps the most critical part of our Ultra Shear Technology processing system. This nanogap valve that actually does a tremendous job of shearing the material that goes through it and not allowing it to plug up, which is a problem that a number of companies have out there. Because of the way we've developed this valve, it will not plug up and that it will let the material go through and then shear it again when it goes through again in just a couple of minutes after that.  
 We've had a big -- for our other 2 technology platforms, BaroFold, we had good demand. We have now 2 multinational, multibillion dollar companies that are clients of ours. We have 3 or 4 companies that are not that big. Some of them are start-ups, but they're well funded. Again, we've mentioned we can't talk about names because if someone uses our BaroFold technology, it means we're solving a problem for them, but they're going to pay to solve the -- to have to solve the problem. Our goal is to solve the problem, get written into their standard operating procedure and then get a piece of the action once they get to market, for the 15, 18 years that they're going to be on market because they'll need our process to stay on -- to get on market and stay on market.  
 We announced that we successfully transformed Neem Oil into a highly potent nanoemulsion emotion that was very effective. We announced 2 -- we announced that we're setting up 2 demonstration and processing sites, one on the East Coast, which is here in our facility; 1 on the West Coast, which will be in Jeff's facility in Mountain View, California, and we'll be -- we're building 4 systems, and it will be a fee-for-service tolling setup.  
 We established a PBI agrochem subsidiary. We're disappointed in the lack of revenue, not total lacking [indiscernible] with the lack of revenue to date, but we're very optimistic that it's just taking longer to get going. But once we get going, we're going to get going. And we're very, very happy with this potent antioxidant, Astaxanthin, that we published last July, and the stock did extremely well for a month or 2. Astaxanthin is considered, by many, the most potent antioxidant in the world, and we were able -- and it's in short supply, and it's very tough to process it and is very expensive. And we are able to nanoemulsify it so you could get more with less. That's -- the whole thing about nanoemulsions is for the manufacturer to use a lot less to get the same or better results and therefore, reduce their cost. And then for the consumer to have to take less to get the same results or to get better results. So very happy with the results that we have with the antioxidant, Astaxanthin.  
 And as we mentioned at the time and since we've had a number of phone calls from people all over the world that are interested in our process for Astaxanthin, and of course, it started off the year, last year, by announcing that we have a partnership in the food -- with a food industry consortium with our friends and colleagues at Ohio State University. So the last thing I would do, and then we'll probably go into some questions is just repeat without going into much detail, the main goals of this year that we laid out about 10 days ago in a press release, the main -- 4 of the main goals for 2022. Number one is to achieve significant revenue increase for the company. We're going to do that with our agrochem. We're going to do that with our core business of pressure cycling, PCT and BaroFold. And we think, for sure, we're going to get there with the commercialization of our Ultra Shear technology, which we planned for the last quarter of this year.
 The second goal is to try to meet that, do everything we can to meet that goal of getting other Ultra Shear technology platform commercialized, starting with the 2 tolling sites for the last 3 or 4 months of this year and then moving into 2023, where we will be placing instruments in the sites of our customers under a lease and license agreement. The third is to strengthen our financial position. We've done a lot of that. The company is so much stronger in its financial position now than it was a year ago. Let alone 2 years ago, we had $6.5 million to $7 million of variable rate debt. We're down to a very little of that, only slightly over $1 million of that in principle. And our goal is to take care of that as quickly as possible. Most of the debt we've taken is -- I should say, all of the other debt we've taken in the last years is very friendly -- from friendly sources and friendly debt to help us grow the business.  
 And the fourth is our uplist. We meet many of the criteria of NASDAQ or New York Stock Exchange. We have some work still to do, for sure. As you know, we've done it before. We were approved by NASDAQ in 2017, but the bank we hired was not successful in raising the money we needed. Otherwise, we would have been at NASDAQ. So we know what to do and how to do it. And we've got our sights on NASDAQ or New York Stock Exchange uplist this year. So at this point, Jeff and John and I spoke, and we spoke that we had a Board meeting on Sunday, and we spoke at length. And we think that the best use of our time here today is really to talk about the future, talk about where this company is going and not to spend too much time in the past.  
 That said, I'm more than happy to answer any questions and have Jeff and John answer any questions that have to do with the past quarter and the year that we just announced. But we've got such a bright future. We are so looking forward to the rest of this year. The future is not -- we're not talking about a year or 2 from now. We're talking about a month or 2 from now. We have so many things that are going on. So we think that it might be wise to spend a lot of time that we have left to talk about what we see the future of this company is versus dissecting the past. But it's up to you guys. We'll take any and all questions. In the press release today, it really was -- I'm sure some of you called me and said, this is different. It's not the typical [ road to mundane ], list of accomplishments of what happened before and the numbers. We did have a lot that talked about the future, and it was kicked off by Jeff. 
 Jeff Peterson, our Chairman, who's been Chairman for a dozen years and has really helped reshape this company from where we were a dozen years ago before he joined. Jeff started off by talking about the past, but really talking about where we're going in the future. So Jeff -- I'm asking Jeff to very briefly kind of talk about that again and maybe get things going here at this call. So Jeff? 
Jeffrey Peterson: Sure. It's a real pleasure to talk with everybody again. And as Rick alluded to, the Board, the team and our current partners and prospective partners with whom we're in discussions are really excited about the place that we have maneuvered the company to and the transition, the inflection and the growth that we see ahead. Starting at a high level, I'll just remind everybody that pressure is one of the fundamental forces of nature. Temperature and pressure drive things. Solid, liquid, gas or how you go from graphite to diamond and so many other fundamental dramatic effects, although pressure is historically less utilized versus temperature as a driver in industry and labs and so on.  
 And through the 2000s, PBI established its leadership in high-pressure technologies, working with labs and key opinion leaders worldwide. And as we moved into the 20-teens, we consolidated critical intellectual property in other areas, which brought in our BaroFold technology platform and the ability to unfold and refold proteins and become an enabling technology to serve the biotech and biopharmaceutical industry.  
 And we expanded in our IP and our platforms to build the Ultra Shear technology for nanoemulsions and the preservation -- room temperature preservation and stability of liquid foods and beverages and other products. So we arrive at a point now where we have 3 fundamental platform technologies that dominate the high-pressure field, pressure cycling technology, BaroFold and Ultra Shear technology. And we have very thoughtfully developed scientific leadership, the following of key opinion leaders, global proof sites over these past couple of decades.
 And with these 3 platforms, we have very exciting opportunities in each, but they are significantly different in scale. The pressure cycling technology is a tens of millions and probably into the low $100 million market potential, but BaroFold and partnering with the biopharmaceutical industry is potentially a 10x increase in market potential over that.  
 But above BaroFold, Ultra Shear, we see as another order of magnitude or 10x improvement in serving an incredible array of major global markets that Rick has touched on and will return to in our comments. So as we have assessed this as a Board and a team over the last couple of years, it became clear that a strategic pivot to focus on Ultra Shear, nanoemulsions and the food and beverage impact that it can have was beckoning us for action and attention.  
 And our focus over this time period moved initially into the development of Ultra Shear, building out IP, getting pilot R&D capabilities and demonstrations done, developing 3 different scales of instrument design that would become the engine behind the commercial rollout. We moved into the proof phase of this with customer demonstrations, stability studies, as Rick mentioned, now at 18 months plus and heading towards 24 months quickly for a number of stability studies underway and developed our reach and access and relationships across multiple industries, from food and beverage to the cosmetics and nutraceuticals and pharmaceuticals and agrochem industries and beyond, doing the initial seating, demonstrations, relationship development in each of these areas.  
 And now in 2022, it's the transition point for commercial introduction and our strategy focused on addressing the food and beverage arena, which is a potential very high volume, somewhat lower margin but much lower hurdle rate in terms of regulatory constraints and so on to penetrate. And we benefited from a major government grant from the USDA along with Ohio State to help accelerate and get our largest instrument design readied for this, the BaroShear MAX, which is now in place, commissioned and being used at Ohio State University, as Rick mentioned.  
 We focused on not the sale of instruments, but on a long-term revenue maximization strategy in lease and license models so that it's easy for people to get started, to be supported to not have a huge financial nut in their first engagement but allow us to also scale and benefit on a continuing basis through the lease license model. And this will address all of our market segments. We took 1 area and decided to make an exception in a direct participation experiment. In agrochem, it is quite different from a number of the other segments that we serve, but the technology impact of nanoemulsion is making agrochemicals vastly more effective, allowing less to be used and changing the economics in that sector was very exciting, and we've talked a little bit about our focus on that in the past year. The asset acquisition that we've targeted took longer to get to some of the traction that it was planning and anticipated, which has certainly been frustrating, but it has been achieving traction as we move through the first quarter, and we're expecting that to continue to grow and strengthen more quickly in the second quarter.  
 And we're now at the launch phase where we have the BaroShear MAX in place at OSU. They are characterizing and doing all the baseline work and preparing the publication accessories and so on so that we can launch with the food industry in a GALA event coming up probably around the June time frame, making demonstrations and pilot applications development available to them through our partner at OSU. The agrochem area we expect to be taking off. And we have been busy with our limited resources and getting the initial instrument builds done with R&D scale instruments and the next midsized instrument, our K45, so that we'll be ready to begin tolling work in the next several months and then be in a position to start to kick off full lease and license deals with our partners in the latter part of the year. 
 So we're very excited about where we see ourselves today about the financial strengthening that Rick has touched on. He has been an incredible force of nature himself in handling great complexity of deals and debt and potential equity infusions and optimizing our transition away from some of the more toxic, variable rate arrangements that we were dependent on for a period of time and are just about into a clear sailing, improved balance sheet and readiness to bring in money and complete our NASDAQ uplist and really accelerate this company through the next phase. So I'll stop at that and turn it back over. 
Richard Schumacher: At this point, John, I think we're -- John, our host, John, we're ready to open it up for questions from the floor, if there are any. 
Operator: [Operator Instructions] The first question is coming from Gary Zwetchkenbaum from Plum Tree Consulting. 
Gary Zwetchkenbaum: Again, my congratulations on 64% increase for full year 2021 versus 2020 and a 91% increase in Q1 -- Q4 from last year. I was very pleased to hear about the Ohio State Food consortium about the installation and how that food pilot plant is going. But I wanted to take a minute, if I can, after reading the K to focus on your new agrochem division, if I may. I may have made a mistake. I looked and I saw it in the quarter, it looked like that you had some sales here in the first quarter and recent weeks, somewhere in the area of $100,000 in -- on the agrochem products. I'd like to ask you going forward, give an idea of the value of the inventory that remains and a feeling of what kind of anticipated revenue from agrochem sales we can look forward to in Q2, Q3 and Q4 of this year, it's the first part of my question. 
Richard Schumacher: Yes. This is Rick. I'll take that, Gary. Thank you. We had sales very -- we expected far better sales by now. And we thought we would hit the ground running in last fall, maybe the last quarter of last year, but we did not. We were -- we did post over $80,000 of sales in the first quarter, and most of that came very recently, in the last week or 2. So we're optimistic. It's been tough. We are working with a group that has not sold in The U.S. for a while and has to restart a lot of relationships. But we spent last year, we have a facility in Nevada. We have a full-time employee and a part-time employee. We have a lot of inventory. So we are able -- even though we got that order at the end of March, with a couple of days, we were able to get it out the door the next day.  
 If we sold everything in inventory, to your question, Gary, we probably have $1.2 million or even $1.5 million in sales coming in, which is more than we did in the year 2020 in just this new area. So we think it's going to be a winner. We acknowledge it started off much lower than we anticipated or that the group we're working with anticipated. We think that the sales that are starting now are going to continue. And so we're looking forward to a much stronger second quarter when it comes to agrochem than the first quarter, which was under 80,000 to 90,000. And we think it's going to continue to grow throughout the year. We have a lot we can do. But we're working on so many things that we are putting some effort into agrochem, but we're putting much more effort in the Ultra Shear because that technology can put us on the map pretty quickly in a number of areas that don't require a lot of oversight from any government agency.  
 I hope that answers your question. 
Gary Zwetchkenbaum: I just want clarification, you just mentioned. This is inventory that we have. We don't have to go out and buy it. And you just mentioned that we could derive an additional $1 million plus, $1.2 million, $1.5 million from the inventory that we currently hold. Obviously, there's been a big focus on agrochem, what's happening in the Ukraine with we talking about products and fertilizer and all these products that are going to be much more expensive, and we have these products in hand.  
 So I look forward to this selling the additional $1.25 million, $1.5 million worth in current month. And you said the markup or the -- on this product is -- can you talk about that? 
Richard Schumacher: I'd rather not talk about that, but it's a very good markup. I mean just -- so I am talking about it, Gary. It's a very good markup. I don't want to get into the details because we don't need our competitors to know what we're doing, and we do have competitors, but we don't sell fertilizer. We sell very little fertilizer. We sell mostly pesticides and insecticides, but they're eco-friendly, they're green, they're unique and they're very good. And guess what, we can make them better when we get to it next year or later this year or next year, when we start nanoemulsifying  some of these. We can make them actually better and we can make it more profitable for us.  
 But right now, they're pretty profitable, and we're looking -- we're smiling when we look at the rest of this year. It was tough to get going, but the ball is going down the hill. John Hollister, who is on the phone, lives in California and said today -- my gosh, it's 80 to 100 degrees here, Rick. So it looks like the growth is starting to come and they're going to need some of our products. And yes, Gary, we have them in Nevada. We don't have to go get them. We have a certain amount there that we'd love to sell over the coming weeks, months. So I'd open up, [ Gary ], any other questions. 
Operator: Yes, we have a question coming from Thomas Calder, private investor. 
Unknown Attendee: I'm not quite sure how to put it. The stock closed to $2 today. And on one hand, I'm very thankful that I've been able to add to the portfolio at less than $2 a share, which indicates to me that your stockholders are not strong holders or they're poorly educated about your product. And given the limited resources where would the money be better spend, trying to educate potential stockholders as well as current stockholders or businesses that don't recognize the value of the technology that you have because I think somebody is missing the boat.  
 And now that we're going to get a rollout finally from Ohio State, maybe I'll wake up. I agree with your position of 100% on dealing with cannabis or anything related with the marijuana industry, even if those -- even if it is CBD. But it would seem like the first person to market using your technology would have an edge over every competitor. So in which direction are you going in? 
Richard Schumacher: So Tom, I'm going to turn this over to John Hollister. But before I do, I just want to clarify, we are the owner of Ultra Shear technology, our partner is Ohio State. We are the ones that will be licensing it and working with customers. They're going to help us. We have a relationship. We have several agreements with them. So the rollout is going to come from Pressure Biosciences. Just to make sure it's very clear, I've been asked this a lot. Ohio State is our colleague, our partner. They give us great visibility. They're a great place for the food and beverage company to go and to do work.  
 But when it comes to time, the licensing, the system, that comes down. So John, I'm going to put you on a spot here, you're 3,000 miles away, but you've been in the CBD field for many years. You've been running small companies and doing marketing for large companies. So I'll let you handle Tom's question about with limited money do we educate our investors or do we put it into our products in our rollout. 
John Hollister: No problem, Rick. Thank you. And Tom, thanks for the great question because that's always the battle where do you put your money or your marbles, when you're a small company like ours. And I think philosophically, we believe that if we really do well in sales, that's the best communication to the shareholder market for education. People start paying really close attention when we start doing well. So our focus is on how do we commercialize this tremendous opportunity called UST.  
 And I can share with you that these markets -- each of these markets where UST has a potential all -- each one of them is huge, and we are currently -- and the best indicator of that is as little as we're able to do in terms of promotion, we are getting really major companies calling us to work in each of these sectors, and we are actively working in nutraceuticals, both on the Astaxanthin side and I'll put CBD in there as well as in agrochem, as in cosmetics as well as in the food processing and beverage, in CBD -- and then lastly, in pharmaceuticals. And actually CBD bridges that nutraceutical and we're working with companies with CBD in the pharmaceutical side.
 To share a little more detail in that, we have been doing formulation work with a variety of different companies. And initially, we do -- we presented them a proof of concept at no cost product, which everybody is stunned by the quality of these nanoemulsions in each of these different market segments. But we've moved past that with several of these clients where we've actually [indiscernible] of new formulations, including ones for intranasal administration, intraocular administration of CBD, oral, transdermal applications for CBD. And as Rick alluded to, I'm fairly familiar with this because I started a public company now 7 -- almost 8 years ago, that was a cannabis pharmaceutical company that partnered with the University of Mississippi.  
 And so I became very familiar with the potential of the cannabinoids, but also the limitations of cannabinoids is their oils and like many oils are very poorly absorbed by human body. And what a nanoemulsion does is it enables it to be much better absorbed, that is any cannabinoid. And thereby, you require less of it, but importantly, it also is predictable.  
 So where the variability of normal absorption of cannabinoids exists, one human absorbs 4% of the CBD that they ingest in the natural state. The next person absorbs 20%. When you do a nanoemulsion, you get approximately 100%, very close to 100% absorption. And it's the same whether it's Tom ingesting the CBD or John absorbing the CBD. It doesn't matter. And that's really powerful and it's powerful, and I believe it's the future of -- from regulatory bodies as well as from the customer and the user perspective. So we're right now working as quickly as we can because we have customers who want us to produce UST in various different product forms for use in their products to go to market. And that's why we are focusing our energy on getting these first units built so that we can get into commercial production and begin tolling and generating revenues off of UST.
 So our emphasis to answer your question is to focus on making more people aware of what we're doing in the commercial world so that we can generate more sales. And with that, we can speak with the investor community more clearly and more successfully? I hope that answers your question. 
Unknown Attendee: Yes, that last part did because what I would say, first career was in the semiconductor industry for 16 years and then 27 years in the financial services industry. So if you start doing a rollout and you own the technology, and I'm glad you never did that merger, that by the end of the fourth quarter, people should really begin to start seeing results. Is that a fair statement? Or do you hope that it will happen sooner? I'm sure we all do, but.. 
John Hollister: It is. And so I would add to that, the power of the ecofriendly ag business also adds in that equation because it's a product that is already -- it's ready to go, and it has equally just a huge market. But those sales would be generated very rapidly and have the potential to have very good top line and bottom line news very rapidly. And in parallel, we'll be launching -- and it doesn't take a great deal of human resources in terms of our company to do that launch. And the bulk of our focus as a company and the team that we have is focused on the successful commercialization of UST. And that's where the vast majority of our energy intellectual focus is right now. 
Richard Schumacher: I'm going to hop in here, Tom, because I don't want you to miss -- I heard your comment, and I want to clarify. We are -- John said it, I've said it, we are building 4 machines, 2 of them will be in the West Coast, 2 in the East Coast. We haven't built the machines and it's about a 6-month program. Maybe we can cut it down to 5 to build the machines. So for us to have an actual impact where we can be seeing the money come in, we have to build the machines first. So please keep that in mind. The sooner we can build the machines the sooner we can start the tolling.
 Now in the meantime, Jeff and John and myself and many others are going to be out there working on getting contracts because we can get contracts without the instruments, but we can't start the work until the instruments are built. And some of these things take 2 or 3 months to get. So I just want to clarify that. So yes, we'd like to have it happened earlier, but we need to start building the machines. And that requires money and people and time and 2 of those 3 we have. And the other one, we're finding interesting ways that money -- to get money in that is not nearly as expensive or onerous as it was even a year ago, let alone 2 or 3 years ago. 
Jeffrey Peterson: I'll just add that from a Board perspective, we fully support what you just heard from John and Rick in particular. We do work hard at trying to convey clear, understandable, compelling information to our investor base, through our communications. And this is in some ways a challenging technology for people to get their heads around in some cases. So we try to make it clear and compelling and a good amount of the effort that I put in working with Rick and [ Tom ] is often on that particular challenge of the clarity and utility of our communications.  
 But our real priority is bottom line results and on how do we maximize the utility of what financial resources we have to get initial instrument platforms built and find our way into accelerating commercial contract relationships, initial tolling revenues at the earliest possible time and then be able to scale up to larger equipment, large-scale tolling and lease license, placement of instruments with partners. 
Unknown Attendee: I have just 1 comment because of what you said about building the units and you're trying to build 4. One of the key parts of that is the lead time because the component that you're trying to give having won $100 million inventory, earning $500 million in sales. It was understanding the lead times of all the components because you were selling what you were buying based on lead time, not necessarily what was on the shelf. Does that make sense to you that if there are certain components that if you're going to build 4 machines, you need 4, then maybe you order 8 because I don't think you plan on stopping at 4 machines. And it depends on their price and your capital and your ability to meet those payables. 
Richard Schumacher: Yes, it depends on a lot of things. Some people want 50% down on a $100,000 piece of equipment, and we need 4 of them. And then they want the other 50% 30 days after they ship. But no, we have our Gantt charts. We have everything. We know long lead items and short lead items and where the money has to go. And it's a blast. We've done it before. We're very good at it. We'll do it again. I can assure you, Tom, that your company, those guys here, myself and Jeff and John and others, we're very aware of what you said, and we're doing -- and we're going to optimize it all we can. We want to see those sales numbers come in. 
Unknown Attendee: Well, that's why you keep adding to the position, especially when the market gets it to me at such great prices. 
Richard Schumacher: Well, I'll say -- I'll make 1 comment and it's sort of a -- it's a humor comment. I've said -- one of our investors called me and said it the other day and I've said it 100 times in my life, probably you have to -- stock is maybe the only commodity you know that when it goes on sale, people get upset and they don't buy it. I mean I happen to be a Ford guy. I had Fords all my life, except my '57 Chevy was my first car. But other than that, it's been Fords. And if somebody tell me the F-150 was on sale and I could get 2 for the price of 1, I'd probably go get 2.  
 But stock is different. When the stock goes on sale, so to speak, I get phone calls, I had 5 or 6 today between 2 and 4:00 like what is going on? And I'm going -- I don't control the stock market. We control the company, and we're doing well. And by law, if we're not doing well, we file an 8-K. And if we are doing well, we sometimes file an 8-K if it's material. But no, we're very, very positive about what's going on and going forward. 
Unknown Attendee: And my first car was a '55 Chevy Bel Air. And I actually think you're older than me by a year or so. 
Richard Schumacher: I may be, but I feel like I'm 50. So I'm going to see if there's -- I know we're running short on time here, so maybe we could see if there's any other questions because we've -- I've promised a year ago, we were going to hold this to 60 minutes or less. And we've only got 8 minutes left. So John, is there -- are there any other questions -- anybody in the queue? 
Operator: Absolutely. We have 1 remaining question coming from [indiscernible]. 
Unknown Attendee: Rick and team, great presentation and congratulations on a strong 2021. I thought Tom's question was appropriate. But I think you guys are addressing it, right? Based on what Rick, John and Jeff all spoke to, I think, with UST and your other core technologies, you're well positioned to take advantage of the current market conditions that consumers and manufacturers are looking for long shelf life, natural product and as few chemicals and preservatives as possible that they can put in a product that they're going to consume in some fashion.  
 So I think you're right on with UST being able to deliver that. But in reading the release and then a quick cursory review at the Q, with your portfolio, you are absolutely well positioned for research, scale-up and then ultimately, production like you're trying to do with the tolling. So as you're all aware, it takes money to do that, and it takes more money to do it faster. But the technology is absolutely right on. And people on the call, they need to understand that. The markets are yearning for technology like this because it's just really not available anywhere else. So I just kudos and I wish you well with executing and getting to June target launch with the consortium because those people are going to support this. 
Richard Schumacher: Appreciate the comment, Ken.  Thank you. John, anybody in the queue? 
Operator: We have no further questions in queue. I'd like to turn the floor back to Richard Schumacher for closing remarks. 
Richard Schumacher: We'll mark this day down. We're finishing 6 minutes ahead of time. So look, I appreciate everybody taking time. It's not going to be very long before we all meet again because the first quarter synopsis is going to be and conference call is going to be middle of May, and that's not too far away. So I would say we'll talk to you in about 30 days. And for us, it's going to be one heck of the 30 days.  
 I can assure you that. There is no rest for the weary here. But it's great when people come to work with a smile on their face. I'm assuming John does, but I don't see him that often because he's in California, but we have Zoom calls and he's always smiling. So we do have a lot of work ahead of us, but it's a chore that we all look forward to. So thanks for joining us. John and Jeff, thanks for joining me. I appreciate everything you guys do for me and the company. And for the shareholders, we'll talk to you in about 30 days. Thank you. 
Jeffrey Peterson: Thanks, everyone. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation. 
John Hollister: Thanks.